Operator: Good day, ladies and gentlemen, and welcome to the Akamai Technologies Fourth Quarter and Fiscal Year 2015 Earnings Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. As a reminder, today's conference is being recorded. I would now like to introduce your host for today's conference, Mr. Tom Barth, Head of Investor Relations. Sir, please go ahead.
Tom Barth - Head-Investor Relations: Thank you, Liz, and good afternoon and thank you for joining Akamai's fourth quarter and fiscal year 2015 earnings call. Speaking today will be Tom Leighton, Akamai's Chief Executive Officer; and Jim Benson, Akamai's Chief Financial Officer. Before we get started, please note that today's comments include forward-looking statements, including statements regarding revenue and earnings guidance. These forward-looking statements are subject to risk and uncertainties and involve a number of factors that could cause actual results to differ materially from those expressed or implied by such statements. Additional information concerning these factors is contained in Akamai's filings with the SEC, including our annual report on Form 10-K and quarterly reports on Form 10-Q. The forward-looking statements included in this call represent the company's view on February 9, 2016. Akamai disclaims any obligation to update these statements to reflect future events or circumstances. As a reminder, we will be referring to some non-GAAP financial metrics during today's call. A detailed reconciliation of GAAP and non-GAAP metrics can be found under the financial portion of the Investor Relations section of our website. And with that, let me turn the call over to Tom.
Frank Thomson Leighton - Chief Executive Officer & Director: Thanks, Tom, and thank you all for joining us. Q4 was another strong quarter for Akamai on both the top and bottom line. Revenue in the fourth quarter was $579 million, up 8% year-over-year and up 11% when adjusted for foreign exchange headwinds. Our revenue overachievement compared to guidance was driven by the continued rapid growth of our security services as well as a strong holiday commerce season. Non-GAAP EPS for the fourth quarter was $0.72 per diluted share, up 3% year-over-year and up 5% when adjusted for currency headwinds. Our better than expected earnings were fueled by higher revenues, improved efficiency and a $0.06 benefit from the reinstatement of the federal R&D tax credit. We also had very strong cash generation in the fourth quarter with free cash flow of $139 million. Our fourth quarter results capped off another excellent year for Akamai. In 2015, we generated $2.2 billion in revenue, up 16% in constant currency over an outstanding 2014. As a result, Akamai is now one of only 11 U.S. public Internet software and services companies that has generated over $2 billion in annual revenue. Our performance in Security Solutions topped $1 billion in revenue in 2015, making this our largest solution category. Contributing to that result were our Cloud Security Solutions, which grew 54% for the year and now have an annual revenue run rate of nearly $300 million. We continued to be very profitable in 2015, generating non-GAAP net income of $454 million or $2.52 per diluted share, up 6% over 2014 in constant currency. I believe our excellent 2015 financial performance demonstrates that our business is strong, growing, and highly profitable, validating our comprehensive strategy to make the Internet fast, reliable, and secure for our customers. In support of this strategy, we are laser focused on solving four grand challenges: delivering video over the Internet with unparalleled quality, scale and affordability; providing near instant performance for websites and apps on any device, anywhere; securing websites and data centers from cyber attacks that aim to disrupt their online operations, corrupt their data or steal sensitive information; and scaling enterprise networks to handle growing cloud workloads efficiently and securely. Security, in particular, is a pervasive concern for customers across all verticals and geographies, and it is a tremendous growth opportunity for Akamai. In addition to world-class protection, our unique cloud-based security solutions offer substantial advantages such as quick implementation without the need for data center hardware, easy deployment across a wide range of web infrastructures and enhanced performance for web applications. When deploying Akamai's security solutions, there is no need to upgrade or replace hardware to meet ever changing threats. Our cloud security services are designed to enable customers to rapidly deploy a known standard set of security protection across all of their websites, regardless of how or where they are hosted. And unlike traditional approaches to security, which can slow down performance, Akamai's security solutions have been shown to actually improve performance. This means that Akamai's solutions can be used in an always on proactive mode which provides substantially improved security for websites and applications. Our Cloud Security Solutions are also differentiated by the quality of our security data. With our unique global platform, Akamai is able to gather more than 20 terabytes of security data every day. We process this data using real-time behavioral analysis and machine learning algorithms to continuously improve our level of protection. We are also using this data to provide advanced services such as Client Reputation which we launched late last year and bot manager which we plan to introduce at the upcoming RSA Conference later this month. As we look forward, we plan to expand our suite of security solutions to also protect enterprise employees from phishing and malware attacks. Our first offering in this area is scheduled to be released later this year, and it will make use of our successful AnswerX recursive DNS platform to block access to malicious sites that propagate malware or aid in the exfiltration of confidential corporate data. Through partnerships with many of the world's leading carriers, our AnswerX platform is already being used on a daily basis in tens of millions of homes around the world to block access to undesirable content. By leveraging the AnswerX platform to provide security for our enterprise customers, we plan to substantially expand the addressable market for our security solutions. In the long run, we believe that the market for enterprise security solutions in the cloud could exceed our current market for protecting websites and applications. We are also very excited about the opportunity for growth in our media business. Our Media Delivery Solutions generated nearly $1 billion of revenue in 2015 and with strong profit margins. As we have discussed in the past, the growth rate of our media business and of the company as a whole is influenced by the revenue that we receive from a few very large customers. Over the last few years, our largest two customers, in particular, have comprised about 13% of Akamai's overall revenue. As we look ahead to 2016, we expect these two accounts to still be our largest media customers and that they will contribute about 6% of our overall revenue. This seven-point change in contribution results from their increased do it yourself or DIY efforts, and it is the main reason we anticipate a lower year-over-year revenue growth rate over the next couple of quarters. It is important to know that the revenue growth from the rest of our customer base remains strong. In addition, we believe that we will exit 2016 with a much more diversified revenue base that will be less subject to future changes in our largest accounts. More importantly, as more video moves online, I believe that there is the opportunity for substantial future growth in our media business, even in the top few accounts where DIY is currently a factor. When performance matters, even the biggest media companies turn to Akamai. That's because it is very hard to replicate our ability to deliver online media with world-class quality, scale and security at an affordable price point. Our many advantages over alternative solutions include our unique approach of streaming content through a global network of 200,000 edge servers located close to end users, which allows us to bypass congested middle mile peering points, resulting in a more reliable viewing experience for end users. Our superior communication and video transport protocols, which are designed to deliver the kind of higher quality picture that is expected by users and broadcasters alike, and our client-side software, which is now installed on over 100 million devices around the world and designed to greatly improve quality scale while also lowering costs. It is hard to predict how quickly the demand for video services will increase, but as OTT grows, I believe Akamai is in an excellent position to benefit with our ability to deliver broadcast level quality at enormous scale and at an affordable price point. Before turning the call over to Jim, I'd like to cover one last item. Today, we announced an evolution of our organizational structure designed to help us better serve our customers and further accelerate growth by more tightly aligning our teams that build products with those that work day-to-day with our world-class customers. We've made great strides diversifying our product portfolio in recent years, delivering record sales and profitability. And as we close out another excellent year, I believe that our Media and Web Performance and Security businesses are now at the scale where a transition to this type of customer and solution-centric organization makes sense. This change will become effective in Q2, does not involve layoffs, and will not be disruptive for our customers. Indeed, I am looking forward to Akamai becoming even more responsive to our customers' needs and bringing innovative solutions to market at an even faster pace. In summary, I see a very bright and exciting future for Akamai. Our rapidly growing security business has a rich collection of new products in the pipeline. We are well positioned to benefit from the potential of very large volumes of video traffic moving online. We are well ahead of the field when it comes to improving websites and application performance, especially for mobile devices. And we are just beginning to tap into an enterprise security and networking market that could someday be larger than the current market for our web services. This is why, in addition to the three-year $1 billion share repurchase program recently authorized by our board of directors, I plan to enter into a personal 10b5-1 plan to purchase $10 million worth of Akamai stock over the next six months. I will now turn the call over to Jim to review our Q4 financial results and to provide the outlook for Q1. Jim?
James Benson - Chief Financial Officer & Executive Vice President: Thank you, Tom, and good afternoon everyone. As Tom outlined, Akamai had a strong fourth quarter. Q4 revenue came in above the high end of our guidance range at $579 million, up 8% year-over-year or up 11% if you adjust for foreign exchange headwinds. Revenue from our Performance and Security Solutions was $286 million in the quarter, up 16% year-over-year or up 19% on a constant currency basis and was the sole driver of our revenue overachievement. Our web performance business benefited from a stronger than expected online holiday season, and we continued to see strong growth and demand for our cloud security offerings across all three geographies. Fourth quarter revenue for our Cloud Security Solutions was $73 million, up 46% year-over-year or up 50% on a constant currency basis. Exiting 2015, our security business now has an annualized revenue run rate of nearly $300 million. Turning now to our Media Delivery Solutions, revenue was $247 million in the quarter, down 2% year-over-year or up 1% on a constant currency basis and in line with our expectations. As I mentioned in our last earnings call, the moderation in media revenue growth rates was driven by the impact of DIY efforts in our largest two media accounts. However, the rest of our media business grew over 10% compared to a very strong Q4 of 2014. Finally, revenue from our Services and Support Solutions was $46 million in the quarter, up 18% year-over-year or up 21% on a constant currency basis. We continue to see strong new customer attachments rates for our higher end, enterprise class professional services globally. Turning now to our geographies, sales in our international markets represented 28% of total revenue in Q4, up one point from the prior quarter. International revenue was $163 million in the quarter, up 17% year-over-year or up 27% on a constant currency basis. The stronger dollar continued to weigh on growth rates and had a negative impact on revenue of nearly $14 million on a year-over-year basis and $1 million on a sequential basis. On a constant currency basis, we continued to see solid growth in both our Asia-Pacific and EMEA markets. Revenue from our U.S. market was $416 million, up 5% year-over-year. Our two largest media accounts reside in the U.S. and heavily weighed on the U.S. market's results. Outside of these two accounts, revenue growth was solid across the rest of the U.S. business. And finally, revenue through channel partners represented 27% of total revenue in Q4. Moving on to costs, cash gross margin was 77%, consistent with Q3, down 2 points from the same period last year and in line with our guidance. GAAP gross margin, which includes both depreciation and stock-based compensation, was 67%, consistent with the prior quarter, down 3 points from the same period last year, and about a point higher than our guidance due to the revenue overachievement. GAAP operating expenses were $263 million in the fourth quarter. These GAAP results include depreciation, amortization of intangible assets, stock-based compensation, acquisition-related charges, and other non-recurring items. Excluding these charges, non-GAAP cash operating expenses were $211 million, up $7 million from Q3 levels and at the higher end of our guidance. We continue to balance investments in the business with a near-term moderation in revenue growth rates. Adjusted EBITDA for the fourth quarter was $238 million, up $16 million from Q3 levels, and up $6 million from the same period last year. Our adjusted EBITDA margin came in at 41%, up 1 point from Q3 levels, down 2 points from the same period last year, and at the high end of our guidance. GAAP depreciation and amortization expenses were $80 million in the fourth quarter. These GAAP results include depreciation associated with stock-based compensation, amortization of intangible assets, and amortization of capitalized interest expense. Excluding these charges, non-GAAP depreciation was $70 million, up $5 million from Q3 levels, and slightly above our guidance. Non-GAAP operating income for the fourth quarter was $168 million, up $11 million from Q3, and down $7 million from the same period last year. Non-GAAP operating margin came in at 29%, consistent with Q3 levels, and down 4 points from the same period last year, and a point higher than our guidance. Moving on to the other income and expense items, interest income for the fourth quarter was about $3 million, consistent with Q3 levels. Non-cash interest expense related to our convertible debt was roughly $5 million. As a reminder, this non-cash expense is excluded from our non-GAAP results. Moving on to earnings, GAAP net income for the fourth quarter was $88 million, or $0.49 of earnings per diluted share. Non-GAAP net income was $129 million, or $0.72 of earnings per diluted share, $0.08 above the high end of our guidance range. Our better-than-expected earnings were fueled by higher revenues, improved efficiency, and a $0.06 benefit from the retroactive reinstatement of the U.S. federal R&D tax credit in December, which was not included in our guidance. Without the benefit of the R&D tax credit, we generated non-GAAP earnings of $0.66 per diluted share, $0.02 above the high end of our guidance range. For the quarter, total taxes included in our GAAP earnings were $32 million, based on an effective tax rate of 27%. Taxes included in our non-GAAP earnings were $42 million, based on an effective tax rate of 24% and coming in about 6 points lower than our guidance range, again, due to the R&D tax credit. Finally, our weighted average diluted share count for the fourth quarter was 180 million shares, consistent with Q3 levels and in line with our guidance. Now I'll review some balance sheet items. Days sales outstanding for the fourth quarter was 59 days, consistent with Q3 levels. Capital expenditures in Q4, excluding equity compensation and capitalized interest expense, were $89 million, and slightly above our guidance for the quarter. As a reminder, this CapEx number also includes capitalized software development activities. Cash flow generation continued to be strong. Free cash flow was $139 million in the fourth quarter, or 24% of revenue. Our balance sheet also remains very strong, with roughly $1.5 billion in cash, cash equivalents and marketable securities on hand at the end of the quarter. If you factor in our convertible debt, our net cash is approximately $800 million. During the quarter, we spent $100 million on share repurchases, buying back roughly 1.7 million shares. For the year, we spent $300 million, buying back 4.5 million shares. As Tom mentioned, we are pleased to announce that our board has authorized a new $1 billion share repurchase program running from now until the end of 2018. As we've discussed in the past, our overall aim is to deploy our capital to achieve favorable returns for our investors in a manner that we believe is in the best long-term interest of the company and our shareholders. Given our strong balance sheet and cash generation, this new authorization is intended to continue our multi-year capital allocation plan to offset dilution from our equity compensation plans and to provide us with the flexibility to opportunistically return more cash to shareholders depending upon business and market conditions. In summary, we are pleased with how the business performed in Q4 and throughout 2015, and we remain confident in the long-term prospects of growth for the company. Looking ahead to Q1, as a result of the lower volume from our top two accounts and normal Q4 to Q1 seasonality patterns, we are expecting Q1 revenue in the range of $554 million to $570 million. At the midpoint of this range, revenue growth would be 8%, adjusted for foreign exchange movements over a very strong first quarter last year. At current spot rates, foreign exchange fluctuations are expected to have a negative impact on Q1 revenue of $1 million sequentially and $5 million compared to Q1 of last year. At these revenue levels, we expect cash gross margins of 77% and GAAP gross margins of 65% to 66%. Q1 non-GAAP operating expenses are projected to be $201 million to $206 million. As I mentioned earlier, we have purposefully slowed down the rate and pace of head count additions and discretionary spending to align with our near-term top line growth expectations. But, we are continuing to make prudent investments in the business that we believe are necessary to support sustained long-term growth and scale. Factoring in all these items I just mentioned, we anticipate Q1 EBITDA margins of 40% to 41%. And as I have been messaging in prior calls, we will strive to operate the company in the 40% to 41% EBITDA range for the foreseeable future. But as a reminder, maintaining EBITDA margins at 40% to 41% will be heavily dependent on several factors including revenue, volumes, possible M&A and spending on platform capacity in anticipation of greater demand for our over-the-top video delivery services. Moving on to depreciation, we expect non-GAAP depreciation expense to be $71 million to $73 million. Factoring in this depreciation guidance, we expect non-GAAP operating margins of 28% for Q1. And with the overall revenue and spend configuration I just outlined, we expect Q1 non-GAAP EPS in the range of $0.61 to $0.64. This EPS guidance assumes taxes of $46 million to $48 million, based on an estimated quarterly non-GAAP tax rate of 29.5%. This guidance also reflects a fully diluted share count of 178 million shares. On CapEx, we expect to spend approximately $85 million to $95 million in the quarter, excluding equity compensation. Of course, we will continue to balance network investment against future revenue opportunity and continued network efficiency initiatives. In closing, we accomplished a great deal in 2015 and remain confident in our ability to execute on our plans for the long term. We look forward to having an opportunity to go into more details with you about the business and future trends in the industry at our upcoming Investor Summit in Boston on March 7. Thank you, and Tom and I would like to take your questions. Operator?
Operator: Our first question comes from the line of Michael Bowen with Pacific Crest. Your line is now open. Please go ahead.
Michael Bowen - Pacific Crest Securities: Okay, thank you very much. I appreciate you taking the question. So, I guess if you guys could maybe go over a little bit with us with regard to the two customers going from 13% down to 6%. Could you maybe characterize for us how that lines up with perhaps the way you were thinking about those revenue levels maybe a quarter or two ago? And maybe another way to think about it is if that revenue is getting cut in half, where do you see that revenue being made up at this point? And can you talk about perhaps some of the relative strength between media performance and also the Cloud Security business in that regard? Thanks.
James Benson - Chief Financial Officer & Executive Vice President: Sure. So just to be clear that the – the 13% reference is on average what we've received from these top two customers. So it wasn't exactly the percentage of business that we had in the fourth quarter. So this has been gliding down slowly for the company. And as we said that we expect next year it'll be roughly 6%, it could be a little bit more than that, could be a little bit less than that, depending upon how we see traffic volumes. But we're very, very pleased with the performance, in general, of our Media business, that our Media business outside these two customers grew 10% is very, very healthy. I would say that these customers have been doing DIY for a while, and they do serve a fair amount of their traffic themselves, so depending up traffic volumes for their businesses, we'll serve more or less traffic. But I'd say this is kind of, in general, aligned with our expectations. That, I think, in particular what's going to fill this up, I think you're going to go through a period where as their revenues glide down to roughly 6% of our total revenues for the company, one, we're much more diversified in our portfolio from a customer perspective because there isn't – customers three and four and below that are not even nearly close to the size of these customers, and these customers combined are only going to represent 6%. So the revenue concentration is significantly less. There's significant opportunity for growth, as I mentioned, in the Media business, that the Media business is very healthy in aggregate. We believe that more and more content is going to move online, video content in particular, that will fuel growth. We – our Security business grew 54% in 2015 and that it was only a few years ago – four years ago that business was just a few million dollars. So to go from a few million dollars four years ago to a business now that has an annualized run rate of $300 million is a huge opportunity for growth in security. And there's an opportunity for growth in other aspects of the business as well. So I think those are the many pillars of growth that we think will fuel the company; media, security, web performance and some of the new emerging areas that Tom outlined.
Michael Bowen - Pacific Crest Securities: And then maybe as a quick follow-up, if I may. When we had you on the road, Jim, you talked a lot about some of the contract renegotiations with some of your large customers. Typically contract renegotiations have a negative connotation to them, but to the contrary, you were speaking very positively with regard to some of those endeavors. Can you share with us a little bit how those efforts are going, to the extent you can? Thanks.
James Benson - Chief Financial Officer & Executive Vice President: I mean, we always go through contract renewals with customers every quarter. I think what you're referring to is, obviously, each customer is unique and the way you structure contracts with customers depends upon the circumstances for that customer. And so I'd say there's nothing unique other than making sure that the contract structure is in the best interest of Akamai and the customer. And so we make sure that we do that. Sometimes that means structuring contracts differently than the way they're currently structured, but I don't think there's anything notable to talk about for any particular customer. Every customer is unique and I think we try to come up with a solution for each customer when we work with them to make sure it's something that works for them and for Akamai.
Michael Bowen - Pacific Crest Securities: Maybe just a very quick follow-up. In the context of new competition coming into the space, do you still feel like Akamai has sufficient leverage in these renegotiations of the contracts so that these renegotiations will be overall favorable in the pricing construct of those contracts?
James Benson - Chief Financial Officer & Executive Vice President: Are you talking about for the customers – the top two customers, or just in general?
Michael Bowen - Pacific Crest Securities: Well, I guess the answer would be yes. To both.
James Benson - Chief Financial Officer & Executive Vice President: I mean – again, I'm not going to get into any specific customer renewal situation. I would say that – yeah, I think you certainly know that we are by far the largest provider and the best provider of content delivery services kind of globally. And so in that regard, I think we have a lot of leverage with our customers. But we try to make sure that when we negotiate with our customers, we're negotiating something that works for them and works for Akamai. And so I think that's going to be the case. I think we'll continue to have good leverage and I think we try to make sure it's a win-win for both of us.
Frank Thomson Leighton - Chief Executive Officer & Director: Thank you. All right, Michael, thank you. Next question, please?
Operator: Our next question comes from the line of Tim Horan with Oppenheimer. Your line is now open.
Timothy K. Horan - Oppenheimer & Co., Inc. (Broker): Thanks, guys. Could you give us a little bit more color on the cloud – sorry, the Performance and Security business? This is one of the strongest quarters I think you've had. Is the sales productivity improving? Is the integration with enterprise (29:43) internal basis is improving, or any other color would be helpful, guys.
James Benson - Chief Financial Officer & Executive Vice President: And I can start with that, maybe Tom can offer any color if he wants. But, yeah, we had a very, very good quarter in Performance and Security. Grew 19%, but it grew 19% in Q3 as well, so we've been growing the Performance and Security business in the high teens all year. So again, very solid performance. And, as I mentioned, we had very, very good performance in the fourth quarter; one, we saw an acceleration in our Cloud Security offerings – in Solutions, so those grew 54% year-over-year. We had a very strong online holiday season in the commerce space, so we had a good performance in web performance as well. So, again, I think that that category has certainly been the fastest grower for the company and it certainly, as Tom mentioned, the largest category for the company now. So I think there's a lot of room for growth in that category.
Frank Thomson Leighton - Chief Executive Officer & Director: Yeah, the strong performance we saw in Q4 is all around our existing solutions, Kona Site Defender and Prolexic, our flagship offerings, and I think what's really exciting is when you look at the roadmap of new solutions coming out, and then later this year as we enter the enterprise security space that that creates the potential to really continue the very strong growth of security solutions well into the future.
Timothy K. Horan - Oppenheimer & Co., Inc. (Broker): Thank you.
Operator: Our next question comes from the line of Mike Olson with Piper Jaffray. Your line is now open.
Mike J. Olson - Piper Jaffray & Co (Broker): Hey, good afternoon. Along those same lines, is the upside there in security that is coming from faster uptake of security within existing customer base or is it faster ramp of kind of selling your security offerings to non-Akamai customers?
Frank Thomson Leighton - Chief Executive Officer & Director: It's both. We have a large customer base that can really benefit from our security solutions, and security is also a great lead offer into certain verticals that may not have already bought our acceleration services. So both, I would say, are doing well.
Mike J. Olson - Piper Jaffray & Co (Broker): Okay. And then could you describe on the media side why or why not your other media customers outside of those top two customers would be able to do similar DIY build-outs and kind of less than how Akamai fits into their future media delivery needs? In other words, why would that happen or not happen outside of these major two customers?
Frank Thomson Leighton - Chief Executive Officer & Director: Yeah, I think there's only a very small handful of customers that can even really think about doing it. We've been competing against DIY now for 15 years and through that time, there's only a handful that have gone there. Generally, we compete successfully and in my opinion, probably doesn't even make sense for them to be doing it. And ultimately I think that they discover that as Akamai continues to improve its capabilities that we'll do a better job at a lower price point. So I don't think this is something that goes broader than the few customers who do it today, and even there, I'm optimistic about our future in those accounts.
Mike J. Olson - Piper Jaffray & Co (Broker): Thank you.
Operator: Our next question comes from the line of Steve Milunovich with UBS. Your line is now open.
Steven M. Milunovich - UBS Securities LLC: Thank you very much. Following up on that question, could you talk about the timing that you expect at this point with OTT, and is there a risk that OTT will be dominated by a handful, as you put it, of customers so you get sort of an oligopoly effect? So even if it doesn't spread much beyond the current customers doing DIY, that if there's three to five that do it, that's basically a lot of the market and hurts your media growth over time.
Frank Thomson Leighton - Chief Executive Officer & Director: Yeah, the timing is really hard to predict, first, when the various offers will come out, and then how popular they will be. So that's just – it's hard to know. Our goal and job is to be out in front of it so that we're ready. And, as you know, last year we did purchase some CapEx in advance of what we thought would be a real strong influx of OTT. That didn't take place the way we thought. I think over-the-top will be dominated by a relatively small number of major entities; broadcasters, carriers, media giants. I think we have great relationships with pretty much all of those folks and we're in a very good position to benefit as OTT increases. And, of course, OTT is a situation where people are really paying for it. The quality needs to be really good and that's a situation where the big folks really tend to turn to Akamai.
Steven M. Milunovich - UBS Securities LLC: Do you still believe in the 17% compound growth rate to $5 billion in 2020? Is that still a reasonable goal?
Frank Thomson Leighton - Chief Executive Officer & Director: You know, we've achieved that over the last three years. We are still working hard to get to $5 billion by 2020. Obviously, our projected growth rates for early this year are less than that. That makes it harder to reach the goal, and of course, the foreign currency situation with the strengthening dollar slows us down. But – so we're working hard to get there. Is it possible it'd be a year or two late? Of course. But we are striving to get to $5 billion, and I am confident that we can do that.
Steven M. Milunovich - UBS Securities LLC: Thank you.
Operator: Our next question comes from the line of Sterling Auty with JPMorgan. Your line is now open.
Sterling Auty - JPMorgan Securities LLC: Yeah, thanks. Hi, guys. Wanted to start with – I'm a little confused. Last quarter, the commentary around the top customers was focused around the top three customers. And the qualitative commentary was that customer number two and customer number three were of similar size. Now you're saying it's top two, and number one and number two are a far cry from where number three is. What happened to customer number three to have the commentary change?
James Benson - Chief Financial Officer & Executive Vice President: So I think that in Q4, what was going on was the growth was impacted in Q4 by the top three customers. Customer number three does a very, very modest amount of DIY, and so that was a different kind of dynamic that was going on with customer number three. We had gone through previously a contract renewal with them, so it was less a DIY play and certainly only a one quarter phenomenon. Not going to persist into 2016, and if we conveyed that customer two and three were of the same size, then my apologies because that's certainly not the case. Customers one and two are certainly much larger than customers two and three. Customers two and three just to give you -
Unknown Speaker: Three and four.
James Benson - Chief Financial Officer & Executive Vice President: – between 2% and 3%, and below that, no customer is more than 1%. So our concentration is actually fairly limited, just to give you a little bit more color on that.
Sterling Auty - JPMorgan Securities LLC: Okay, and based on the trends that you're seeing within those top two customers, I understand you're only giving guidance for the March quarter, but I think a lot of us are trying to think about the model and the shape of the seasonality and the impacts from these trends. Would you expect the growth rate to trough second quarter or third quarter? Is there any visibility around that?
James Benson - Chief Financial Officer & Executive Vice President: Well, we don't specifically guide. You're right. We're only guiding for the quarter, but we did try to provide some helpful information for you without giving you a specific guide. And specifically what Tom talked about is we expect that we're going to see growth moderation for the next couple quarters. And I'll leave it to you to understand what you think a couple quarters is.
Sterling Auty - JPMorgan Securities LLC: Okay. And then, last question. Under the new structure, I'm kind of curious – I think it makes sense in terms of the efficiency on the go to market, but when you think about the development and the management of the infrastructure, what's different here versus other enterprise software is you have that shared infrastructure of the Akamai network. How are you going to manage the prioritization of upgrades as well as modifications to the Akamai network that you may have a little bit of a tug of war between what the Media side wants to do versus Performance and Security?
Frank Thomson Leighton - Chief Executive Officer & Director: Yeah, great question. Our platform organization, which includes development, deployment of resources and so forth, is not changing during the reorganization. We have already figured out how to handle the problem you suggest where the Media division needs to update some software for video delivery, the Security team wants to make a new product and get that out there. And it's all riding on the same platform. So we have already had, on the development side, a partition of those resources into business units with product teams. And so that won't change. We figured out how to do that management, and that will continue on the same way. The difference here, with this next step in our organizational evolution, is that we're aligning our go-to-market resources directly with the product and development resources in these areas. And the platform organization stays the same.
Sterling Auty - JPMorgan Securities LLC: Got it. Thank you.
Operator: Our next question comes from the line of Jonathan Schildkraut with Evercore ISI. Your line is now open.
Jonathan Schildkraut - Evercore ISI: Great, thanks for taking the questions. I guess I'd like to ask a little bit about what's going on around sort of the cloud side. You mentioned in your prepared remarks that scaling enterprise networks to handle growing cloud workloads was something that was one of your big goals. And I know that you recently initiated a partnership with Microsoft. And I'm just wondering if you could take us up to speed on what's going on with that relationship and sort of what we might look for in the future around this? Thanks.
Frank Thomson Leighton - Chief Executive Officer & Director: Yes, the partnership with Microsoft has several components. I think you're referring to the part with Azure, where if you have applications running on Azure, you'll be able to check the box, and deploy Akamai whole site delivery for whatever you're doing with Azure. And I think that's a great step forward for us. Microsoft will also be reselling our services. Now when I talk about the grand challenges, the beginning, there I'm talking more about a business that we're just beginning to get into, and that is focused on the enterprise network. How an enterprise communicates with employees and branch offices. How you manage enterprise security to protect employees from phishing attacks or a malware that gets in and steals corporate e-mails and then exfiltrates that data. We're not really doing that yet today, but that's where we are headed. We had our first really toe in the water there in partnerships with Riverbed and Cisco. And we've recently announced partnerships with a couple of major European carriers, Orange and T-Systems, but there's going to be a lot of focus as we move forward on developing capabilities for the enterprise network, and that's different than what we do today for websites and applications, which tend to be more enterprise out as opposed to enterprise employees.
Jonathan Schildkraut - Evercore ISI: That makes sense. Let me ask one follow-up if I may. Just based in terms of our research, even as workloads are making a way into those cloud platforms, people are initially being willing to go there through the public Internet. Obviously that has a lot of issues, and two of them are security and performance, both of which Akamai can address. In your opinion, do you think sort of the driver for folks to come to Akamai and work with you on these cloud applications will be the security side or will it be the performance side? Thanks.
Frank Thomson Leighton - Chief Executive Officer & Director: Both. As you care about performance and you care about security, you're absolutely right in what you said. And I think that drives our business forward.
Jonathan Schildkraut - Evercore ISI: Thank you for taking the questions.
Operator: Our next question comes from the line of Vijay Bhagavath with Deutsche Bank. Your line is now open.
Vijay K. Bhagavath - Deutsche Bank Securities, Inc.: Yeah, thanks. Yeah, hi Tom, Jim. Solid results here. Good news on the buyback. I have a question for both of you. The first question would be for Tom. Would be – the Summer Olympics, the U.S. Election, and some of these other major events on the planet, would these help to meaningfully ramp over the top video traffic volumes in your media business or would the impact be more incremental? And then also help us understand in terms of any forward visibility you're getting. Are any of your media customers looking to sign up contracts, capacity agreements, et cetera, to deliver any of these Internet events at scale to the Akamai global platform? Thanks.
Frank Thomson Leighton - Chief Executive Officer & Director: Sure, we carry most all the major events in most all the major countries in the world. We do derive revenue from those events. Even years, you have more of those events and they tend to be better years for our media business. And perhaps more fundamentally, those events, particularly things like the Olympics, there tends to be changes in the ecosystem. Fancier TVs, this Olympics will have a lot of 4K involved. And so new technologies get demonstrated. And that tends to have a more long-lasting effect. For example, if a lot of folks went and bought 4K TVs, such that they liked it, got used to it, but then a lot of the content that's more day-to-day going forward, you can imagine using that kind of capability, and that creates a lot more traffic and more business for Akamai. So I think there is a more modest, short-term impact. And yes, we do go get, make sure we have capacity and sign up deals for all these events. That is good for the media business. But sometimes you also get a little longer lasting effect afterwards.
Vijay K. Bhagavath - Deutsche Bank Securities, Inc.: Excellent. A quick follow-on for Jim would be what steps you might be taking to systematically improve free cash flow generation? I've been speaking with quite a few clients recently. They see around a 6% cash flow yield in the stock. How would you benchmark free cash flow generation versus your software Internet peers? Thanks.
James Benson - Chief Financial Officer & Executive Vice President: Yeah, I think it's obviously every company is a little bit different and unique. Certainly from a free cash flow, we generate a substantial free cash flow. We've been in kind of the mid-to-high teens from a free cash flow perspective that some years it's going to be a little bit lower than that if we invest more in network CapEx to build out a network, which is hopefully going to be for revenue that we expect in the future. But I think generally speaking, the kind of the model that we've outlined is a model that is kind of low 40s EBITDA. CapEx in the 16% to 18% range. And then you can calculate obviously the free cash flow from that. And I think relative to certainly our peer group in the CDN industry, no one's even close to our financial model. And then relative to others that are in the software and services industry, again all companies are a little bit differently, but I think we fare reasonably well for companies that need to do build-out of their network like we do, so I think that we have a very, very strong business model as a company.
Vijay K. Bhagavath - Deutsche Bank Securities, Inc.: Yeah. Thanks to both of you.
Operator: Our next question comes from the line of Colby Synesael with Cowen & Company. Your line is now open.
Colby Synesael - Cowen & Co. LLC: Great, thanks. The organizational split that you announced, does that put the company in better position to formally split into two legal entities if it so chose? And do you foresee a situation where that actually might make sense? And then, as part of that question, if you're now kind of aligning the parts of the cost structure leading to each of those two buckets, although I appreciate the comments you made about the platform staying as one, will you be in a position to better see visibility on what EBITDA is for each of those two businesses and do you foresee potentially breaking that out for us as well? Thanks.
Frank Thomson Leighton - Chief Executive Officer & Director: Let me take the first question. We have absolutely no intention of splitting the company. And it wouldn't make sense to do that. And though the key point there of course is the platform, which is common and which is a huge advantage for us, both in terms of the economics and the performance and also the scale. Our security solutions, our acceleration solutions, and our video delivery solutions all ride on the same platform. Our media customers buy all of those from us. So there's no intention to split up the company. And I'll let Jim talk about EBITDA and reporting.
James Benson - Chief Financial Officer & Executive Vice President: Yeah, so I think you know, Colby, that we try to provide you guys some color annually anyway around what the EBITDA profile is of our Media business, our Performance and Security business, and our Service and Support business. So I think we already provided that to you that as far as now splitting these up, as Tom mentioned, really what we're doing, remember, is we're taking kind of the product management, product marketing, product development engineering, and kind of sales and marketing side. But that's not the entire company. It's a very, very large kind of organization and platform, and there's other organizations as well. So we will continue to provide annually a view for you around what these divisions look like and I'll probably – while it remains to be seen, we'll have to see at the upcoming investor summit what exactly we share in this construct that we're not moving into this model until Q2, so it's probably a little premature to provide visibility, but I already do provide visibility around EBITDA in the current business construct, and this really isn't fundamentally different than that other than what we're doing is we're integrating the product teams with the go-to-market teams into one team. We think it's going to drive better kind of customer-centric solutions and kind of faster response timing for customers. So I think in that regard, it's more – the goal of it is really to improve execution. It's not necessarily to kind of change the way we're reporting the business.
Colby Synesael - Cowen & Co. LLC: Great. And if I can just get one quick follow-up then. Obviously, the stock, like the broader market, has been under pressure of late. Can you see yourself pulling forward some of your stock buyback similar to, I guess, the announcement that Tom himself is going to be investing in the stock over the next six months to offset the stock comp, which is your goal? Thanks.
James Benson - Chief Financial Officer & Executive Vice President: Yeah, so, that's why I mentioned it in my prepared remarks, that certainly the primary goal of our buyback program is to offset dilution from equity grant. So that will continue to be the primary goal of the program. But the way the program is set up is that we will opportunistically buy back more, depending upon where the stock price trades and depending upon business and market conditions. So you can expect that if the stock price is trading low relative to kind of general market that we will end up buying back more shares. But it's an opportunistic program and I'd say that's the secondary benefit of the program, it's not the primary benefit of the program.
Colby Synesael - Cowen & Co. LLC: Great. Thank you.
Operator: Our next question comes from the line of James Breen with William Blair. Your line is now open.
James D. Breen - William Blair & Co. LLC: Thanks for taking the question. Tom or Jim, I was just wondering if you could give us a little color around the international portion of the business and I think last quarter you had a pretty good growth rate outside the U.S. And then maybe just your thoughts on as you look at some of these larger customers doing it themselves, do you think there's a greater or less potential for that to happen outside the U.S. given some of the geographic challenges? Thanks.
Frank Thomson Leighton - Chief Executive Officer & Director: I'll start with the last question. We don't see really do it yourself outside the U.S. It's really only in literally a handful of giant U.S. media companies. So it's really not an issue there. In fact, it probably gets even harder outside the U.S. to try to attempt that. Our international business, our EMEA business and APJ business are growing at very strong clips. Of course, that's where we get the most impact from the strengthened dollar. So you don't see the percentage of our overall revenue growing as fast as it would otherwise.
James Benson - Chief Financial Officer & Executive Vice President: Yeah, our international business grew 27%, so it's growing in the mid-20%s. So we're very, very pleased with the performance in both the European markets and our Asian markets.
James D. Breen - William Blair & Co. LLC: Great, thanks.
Operator: Our next question comes from the line of Heather Bellini with Goldman Sachs. Your line is open.
Jack Kilgallen - Goldman Sachs & Co.: Hi, this is Jack Kilgallen, filling in for Heather. Thanks for taking the question. The first one you made the comment that excluding those top two customers, the rest of the Media segment grew 10%. I was just wondering, A, if you could give a little bit of color on how that metric has been trending, and B, if you could also give some color on like the price volume dynamics that underlie that 10%?
James Benson - Chief Financial Officer & Executive Vice President: Yeah, I think as we shared before, the Media business tends to have variability based on traffic volumes and pushing traffic and price points. And so I'd say we had a huge Q4 of 2014. We had a record number of gaming releases, software download releases. So the fact that we grew 10% over that, we were very, very pleased. There are some quarters where it does grow more than that, but that's when you have notably more gaming releases and notably more software downloads, but I say it is a very, very good quarter for Q4 outside of those two customers. And what was your second question?
Jack Kilgallen - Goldman Sachs & Co.: Pricing.
James Benson - Chief Financial Officer & Executive Vice President: Oh, pricing. The pricing dynamic that we said with Media for some time is, it remains a very competitive market, which means you have to offer competitive price points. But the rate and pace of pricing, so pricing declines do happen. They happen annually. We track them, track them religiously and kind of the rate and pace of pricing declines has been very consistent over the last several years.
Jack Kilgallen - Goldman Sachs & Co.: Great, and then if I could just get one more. You talked about cloud security, but the ad performance and acceleration business, they grew 11% constant currency this quarter, which was in line with the last quarter. Is there any reason if that were to accelerate on a year-over-year basis, I guess what would be the drivers there? I know the lower growth rate, I know you'd cited that the security products were getting a lot of sales force's attention. Is there anything else you are seeing there maybe in terms of competition that you can shed some light on?
Frank Thomson Leighton - Chief Executive Officer & Director: Yeah, we were very, very pleased with – like as I mentioned, we had a very good online commerce season. Seasonally, you have a good online commerce season, the web acceleration business will do well. And we had a good online commerce season, which is why it grew 11%. That business admittedly in years past has grown faster than that. That business has the potential to accelerate and grow faster, but because it's a subscription-oriented business, effectively deals you book this year tend to be revenue next year. And so I don't think you are going to expect kind of a significant reacceleration in that business any time soon. I do think there is significant opportunity. I think that there's work being done by the engineering teams to increase the pace of innovation and start to offer adjacent products and also improve the existing products. So I think there is a lot of potential on that business, but that business has been growing in kind of the low-double digits. It has been decelerating slightly. It is true that when you have an offering like security that's been growing at 50%, was relatively new for the sales force. It's gotten significant mind share. We've gotten significant traction. It has taken a little bit of way from the web performance business, but I think there is still good opportunity for that business to grow, and I think it's up to us to execute now.
Jack Kilgallen - Goldman Sachs & Co.: Thank you.
Operator: Our next question comes from the line of Michael Turits with Raymond James. Your line is now open.
Michael Turits - Raymond James & Associates, Inc.: Hey, guys, good evening, couple of questions on Media also. First of all, on 1Q, it seems that way based on what you guided in terms of modeling, but are we back to what we think of as normal quarter-over-quarter seasonality in the Media business after a flattish 4Q? So should I think of a normal kind of couple of percent down?
James Benson - Chief Financial Officer & Executive Vice President: Yeah, Michael, I don't know what normal is at times in the media business (55:23).
Michael Turits - Raymond James & Associates, Inc.: Well, just statistically similar to the prior years' discount (55:24), what I mean.
James Benson - Chief Financial Officer & Executive Vice President: Well, the Media business declined last year kind of Q4 to Q1 sequentially, so we're certainly – we're implying from this guide that it's going to sequentially decline this year. There have been years past, though, that Q4 to Q1 the media business has grown, so that's why I said – I can't say that there's more seasonality patterns in the non-media businesses than there are in the media businesses where those businesses do tend to show sequential declines, I'm talking about organically, largely because of the online commerce season that I mentioned that you don't have that in the first quarter. But I'd say for Media, what you saw in the guide is that as we mentioned, these top two accounts are going to weigh on growth rates kind of here in the near term. But I'd say outside of those two customers, if there is something that's normal, it's going to behave more like it did last year.
Michael Turits - Raymond James & Associates, Inc.: Right, but in other words, do we still have an out-sized sequential impact from those two, or is that kind of getting normal patterns off of 4Q that where we took the big hit?
James Benson - Chief Financial Officer & Executive Vice President: No, I mean we're going to see a step down in volumes in these top two accounts as well from Q4 to Q1. Are they going to be just the same magnitude that they were from Q3 to Q4? We'll see, but you will see a similar step down in revenue volumes from Q4 to Q1 in these large accounts.
Michael Turits - Raymond James & Associates, Inc.: Okay. And then the next question, and I know it's hard to look out, but how do you think about if you're going from 13% of revs to 6% of revs roughly for those two top two into 2016, what's your sense of confidence relative to the longer term? Do you feel like they're stabilized or should we think about those as declining businesses for you long term, those top two?
Frank Thomson Leighton - Chief Executive Officer & Director: Yeah, I would view this as probably stabilizing, hard to really predict into 2017. I think there's plenty of potential for actually upside there, especially if there's real progress in video over the top with these customers. So I would say there's more upside than downside. And the very worst possible case, it's only 6% of revenue. And so we are very diversified, and I like that position because now you have some giants that at only a total of 6% of revenue could really grow from there and help reaccelerate the business going forward.
Michael Turits - Raymond James & Associates, Inc.: Okay. Thanks Tom, thanks Jim.
Operator: Our next question comes from the line of Gray Powell with Wells Fargo. Your line is now open.
Gray W. Powell - Wells Fargo Securities LLC: Great. Thanks for taking the questions. So your server count really spiked in 2015, and I'm guessing that is anticipation of future traffic growth at some point this year. How should we think about those investments going forward? And then what kind of visibility do you have on initiatives that could drive traffic growth higher at some point in 2016?
James Benson - Chief Financial Officer & Executive Vice President: Yeah, I mean I'll take the server count. I mean obviously, we look at network CapEx. And as you can imagine, we're doing deployments in the U.S., outside the U.S. And as we talked about in 2015, we did begin to forward bill for what we thought was going to be the potential of an over-the-top offering. And so you could think of it as that the network – you have to build the network out three months to six months in advance, and so we built that out. It's fair to say we haven't monetized that here in the near term, and you'll grow into that here in 2016. We spent a little bit more as a percent of revenue in 2015 than we normally do. We normally spend kind of, call it, 8%, 8.5% of revenue on network CapEx, and we spent about 10% of revenue on network CapEx, but that's above our model. We think the model is more in the kind of 8%, 8.5% range and we'll probably be back at those levels in 2016. And as Tom mentioned around what's going to reaccelerate Media, I think we talked about what those things are. I think there is significant opportunity for growth in Media outside of these two accounts. We do believe one catalyst for growth in the media business is as more and more premium content moves online, it's poised to push a lot more traffic online, and we believe that we're in a good position to benefit from that when that happens.
Frank Thomson Leighton - Chief Executive Officer & Director: Yeah, in terms of the visibility question, I think we probably have as good visibility as it's possible to have. And that said – but it's hard to predict the future. And there's I think things that happen or don't happen that are even beyond the industry to really know for sure. We got caught a little bit last year with that. We and a lot of other folks had very good reason to believe that there was going to be the good possibility of a large influx in OTT traffic. That did not take place. So generally, I'd say our visibility is very good. We are very well connected with all of the major players, but it's not perfect.
Gray W. Powell - Wells Fargo Securities LLC: Got it. That's helpful. And then I just want to make sure I have something correct from a modeling perspective. You may have already touched on this already. How much of the impact from your top two customers going from 13% of revenue to 6% is actually hitting in Q1? Is it all hitting in Q1 or does it phase in over the next two or three quarters?
James Benson - Chief Financial Officer & Executive Vice President: No, as we mentioned, 13% is kind of, call it, what is average over the last few years. It's been coming down, so in Q4 it was not at – it was lower than 13%. And as Tom mentioned that we think that you're going to see it come down probably through the middle part of 2016, and then we'll have to see, our expectation is that we think it may stabilize from there.
Gray W. Powell - Wells Fargo Securities LLC: Okay. Got it. Thank you very much.
Operator: Our next question comes from the line of Greg McDowell with JMP Securities. Your line is now open.
Rishi Jaluria - JMP Securities LLC: Hi, this is Rishi Jaluria, dialing in for Greg McDowell. Thank you for taking my questions. So first, you discussed your strong e-commerce season that you had over the holiday season, and I believe it was IBM that said that almost 60% of Internet shopping came from mobile devices. Just wondering what sort of impact have you seen from this shift of Internet traffic to mobile devices?
Frank Thomson Leighton - Chief Executive Officer & Director: Yeah, we saw very similar statistics. I think our statistics were just a little bit less. That could be with our customer mix. We do carry almost all the major commerce sites on our platform, but mobile is certainly increasing its penetration. We're putting a lot of effort into improving mobile performance. Mobile performance is more challenged obviously than desktop performance, especially if you are using a cellular network. There is a lot of interest in our commerce customers and our customer base as a whole in mobile site performance and mobile app performance.
Rishi Jaluria - JMP Securities LLC: Got it. Got it. Okay. And then you've seen some impressive growth from your cloud security business. There aren't really many cloud security players out there with $300 million in annual revenue. Just as you have gone to this sort of scale and you continue to grow at this relatively high clip, do you anticipate that you are going to start running into bigger competitors, especially as they kind of take notice of this big growing business?
Frank Thomson Leighton - Chief Executive Officer & Director: I think there's a lot of folks interested in the security business. There's giant security companies that license software or sell you hardware. We come at it from really a different approach where we have built a fantastic platform that we can use in a multi-tenant way to provide excellent security with excellent performance in a very easy-to-consume manner. And there the big folks don't know how to do that. We have got a great head start there and we've got 15 years of experience operating in that kind of platform. So there are just lots of customers for us to go and sign up, and it's up to us to execute there. A plenty of competition all around, but in cloud security, we have a very good value proposition.
Rishi Jaluria - JMP Securities LLC: Okay. Great. And then last question, I'll jump off. But I see your investor summit's next month. We're excited to be there. Just in terms of giving us an idea of what to expect out of it, do you think it's going to be like it's been in the past years, or given this reorganization that you will be doing in Q2, should we maybe be expecting a couple of new things out of it?
Frank Thomson Leighton - Chief Executive Officer & Director: I think you'll find it to be similar to past years. So I don't think you see any fundamental differences.
Rishi Jaluria - JMP Securities LLC: Okay, great.
Tom Barth - Head-Investor Relations: There'll be a free lunch.
Frank Thomson Leighton - Chief Executive Officer & Director: Free lunch.
James Benson - Chief Financial Officer & Executive Vice President: Yes.
Rishi Jaluria - JMP Securities LLC: Fantastic. I'll be there. Thank you so much, guys.
Operator: Our next question comes from the line of Keith Weiss with Morgan Stanley. Your line is now open.
Keith Eric Weiss - Morgan Stanley & Co. LLC: Excellent. Thank you guys for squeezing me in. I just wanted to revisit the realignment of the business. Just to get a sort of clear understanding of the directionality of sort of why you're putting the change into place. And maybe it'd be helpful if you can walk us through a couple of examples of the type of stuff you're expecting to be able to do with the new alignment that you couldn't do with the old alignment to help us understand as to the reason why.
Frank Thomson Leighton - Chief Executive Officer & Director: Yeah, I think whenever you bring the customer closer to the developer, you get a better result. You make better products. You make them faster. Innovation gets in the customer's hands faster. You're more efficient. And that's what we're trying to accomplish here. We are getting the folks that work day-to-day with customers lined up right next to the developers that make the products for them. As you could imagine, there's a very high correlation between the revenue we get from media customers and the revenue we get from our media products. And on the other side of the house, a very strong correlation from between the revenue we get from, say, banks and commerce sites as customers and the revenue we get from our application acceleration and web security products. So by bringing those teams together, I think we will be more responsive to our customers and more efficient overall, and I think it helps us accelerate growth.
Keith Eric Weiss - Morgan Stanley & Co. LLC: Okay. And there's no cost saving angle or sort of consolidation of functionality, it's just creating different lines of communication amongst the various components of the businesses.
James Benson - Chief Financial Officer & Executive Vice President: That's right. I think you want to view this as cost neutral. We weren't doing this in terms of absolutely saving dollars. We're not doing a big layoff here. But I do expect us to be a lot more efficient and I do expect that to help us ultimately on the bottom line for the company.
Keith Eric Weiss - Morgan Stanley & Co. LLC: And is there any execution risk involved in terms of people have sort of different – like, do account coverages change at all or the way you address the customers change at all?
James Benson - Chief Financial Officer & Executive Vice President: No, and that's important. We put a lot of effort into that as we planned this realignment. I think we have less than 0.5% of our customers that will have any change in their account team. I think 96% of the reps still have exactly the same territory. And that's probably more than you might even see in a typical year. So there's not really any disruption on the customer side, it's just that those teams will have their management changed now side-by-side with the developer management change and so I think you'll see us be more effective as a result.
Keith Eric Weiss - Morgan Stanley & Co. LLC: Okay. So this can almost be thought as more strategic in nature than sort of feet on the ground in nature.
Frank Thomson Leighton - Chief Executive Officer & Director: Correct.
Tom Barth - Head-Investor Relations: Operator, we have time for one more. We're running a little bit long. So let's take one more question, please.
Operator: Our last question comes from the line of Will Power with Robert W. Baird. Your line is now open.
Will V. Power - Robert W. Baird & Co., Inc. (Broker): Great. Thanks for squeezing me in. So I recognize it sounds like the pressure at your top two customers is you think principally due to do-it-yourself efforts. But I wonder if you could comment on what you are seeing more broadly in the media delivery business competitively from the likes of Amazon, Level 3, EdgeCast and the private players out there, et cetera. Any sense of share loss or any sense of changing dynamics on that front that may be pressuring the business?
Frank Thomson Leighton - Chief Executive Officer & Director: Yeah, not really. We've got dozens of competitors in the media space. We always have, we always will. There is so much potential in that space that you're going to have a lot of competitors. I think we compete very effectively. I'm not aware of any significant share loss there. I think the only fundamental shift there really has been with the big carriers, and basically I'd say the shift has been more towards standardizing on Akamai. I think you look back four years or five years ago, most of the world's major carriers had some kind of DIY effort to build their own CDN to compete with Akamai. Maybe they bought a lot of equipment from one of the big box manufacturers, and today most of the world's major carriers are pretty much standardizing on Akamai. Obviously, Verizon an exception there having purchased EdgeCast, we compete with that. I've said Verizon is still a very large reseller for Akamai. Level 3 of course competes, always has. But the list is not long in terms of the carriers. The cloud providers, some of them partner with us, some of them have competing services, but we're not seeing erosion due to competition. We got two large customers that are built off more on their own internal effort. We have not lost business to competitors there. So I think we're in a very good position on the competitive front.
Will V. Power - Robert W. Baird & Co., Inc. (Broker): Okay. Great. Thank you.
Tom Barth - Head-Investor Relations: Thank you, Tom. Thank you, everyone, and thank you. In closing, as Jim mentioned, we hope to see you at either live or via webcast through the Akamai platform at our 2016 Investor Summit to be held here on March 7 in Boston. In addition, we will be presenting at a number of investor conferences in both February and March. And details of these can be found on the Investor Relations section of akamai.com. So thank you for joining us, and have a great evening.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program and you may now disconnect. Everyone, have a great day.